Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BrightSphere Investment Group Earnings Conference Call and Webcast for the First Quarter 2024. [Operator Instructions] Please note that this call is being recorded today, Thursday, May 2, 2024 at 11:00 a.m. Eastern Time. I would now like to turn the meeting over to Melody Huang, SVP Director of Finance and Investor Relations. Please go ahead, Melody. 
Melody Huang: Good morning, and welcome to BrightSphere's Conference Call to discuss our results for the First Quarter Ended March 31, 2024. Before we get started, please note that we may make forward-looking statements about our business and financial performance. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected. Additional information regarding these risks and uncertainties appears in our SEC filings, including the Form 8-K filed today containing the earnings release and our 2023 Form 10-K. 
 Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update them as a result of new information or future events. We may also reference certain non-GAAP financial measures. Information about any non-GAAP measures referenced, including a reconciliation of those measures to GAAP measures can be found on our website, along with the slide deck we will use as part of today's discussion. 
 Finally, nothing herein shall be deemed to be an offer a solicitation to buy any investment products. 
 Suren Rana, our President and Chief Executive Officer, will lead the call. And now I'm pleased to turn the call over to Suren. 
Suren Rana: Thank you, Melody. Good morning, everyone, and thanks for joining us today. As usual, I'll cover some of the main highlights on Slide 5 of the deck in my initial remarks, and then we can jump to Q&A. For the first quarter of 2024, we reported ENI per share of $0.44 compared to $0.28 in the first quarter of 2023 and $0.77 in the fourth quarter of 2023. The 57% increase in ENI per share compared to the year ago quarter was primarily driven by increasing management fee revenue due to higher AUM from the market appreciation that we saw over the last 12 months.
 Our AUM is now $110 billion, 6.5% higher than what we had at the end of 2023. Our EPS also benefited from the share buyback that we started in December 2023, and we have now bought back approximately 10% of our outstanding shares. Our ENI increase versus the year ago quarter was 48% compared to the 57% increase in EPS that I mentioned earlier. 
 Compared to the fourth quarter of 2023, the ENI and EPS are lower, and that decline was driven by seasonality and timing of performance fee as the majority of our performance fee is typically earned in the fourth quarter. Acadian's investment performance remained strong. As of March 31, 2024, 83%, 91% and 93% of Acadian's strategies by revenue outperformed the respective benchmarks across 3-, 5- and 10-year periods. 
 Net client cash flows for the quarter was $0.4 billion as outflows from managed volatility and some other strategies were offset by inflows in other areas. Our growth initiatives are continuing to progress on plan. Acadian's Equity Alternatives Platform seeded in Q4 of '22, continues to build a strong track record of outperformance. Acadian's Systematic Credit platform's first strategy, U.S. High Yield strategy that was seeded in November 2023 has also started building a good stock record. And in April of 2024, we also seeded the credit platform's second strategy, Global High Yield strategy with another $15 million of seed capital, and that strategy will now start to build a track record. 
 Turning to capital management. We repurchased 3.5 million shares, approximately 9% of our outstanding shares in the first quarter of 2024 or approximately $74 million. We had a cash balance of $102 million as of March 31, '24. During the first quarter of 2024, Acadian drew down on the revolving credit facility and ended the quarter with an outstanding amount of $73 million on the facility. As we have discussed in prior years, this revolving facility is at the Acadian operating levels, and is repaid from cash from operations at Acadian, not from our corporate cash balance. Acadian draws on the facility at the beginning of the year or first quarter seasonal needs mainly to pay prior year's annual bonuses, and the facility is then paid down fully by year-end from the cash generated from the operations. We expect this year to be no different. 
 I'd like to close my initial remarks with reiterating, that we remain focused on maximizing shareholder value, and we'll continue using our free cash flow to support organic growth and to buy back our shares.
 I'll now turn the call back to the operator, and I'm happy to answer questions at this point. 
Operator: [Operator Instructions] Your first question comes from the line of Glenn Schorr from Evercore. 
Suren Rana: Operator, perhaps if we could move to the next question and we could circle back with Glenn later.. 
Operator: Your next question comes from the line of Michael Cyprys. 
Michael Cyprys: Just curious any additional color you can give on cash usage and how we should think about it in the year ahead? What's the minimum level of cash that you feel like you can run with? And also, how should we think about use of excess capital? 
Suren Rana: Yes. Thank you. Again, as we said, we have about a little more than $100 million currently at the end of March, and we are mostly -- almost pretty close done with $100 million authorization we had previously. We have about $15 million left on the authorization. So I guess, if you just go through the $100 million, yet we think about $25 million of operating cash that we'd like to keep at a minimum. There's a $15 million left on the buybacks, about $40 million, I mentioned earlier that we seeded $15 million for our second strategy on the -- on our credit platform for the Global High Yield strategy. 
 So that's another $15 million that $55 million. So I think yes, we're left with about $40 million or so from a use perspective. And we'll look to buybacks. We also would look to seed some more products on the Systematic Credit Platform, we would target fourth quarter to seed our investment-grade strategies both to U.S. and Global Strategies but will also generate more cash in the interim. And we try to recycle some existing seed as well. So in general, I guess, those are the round numbers, and we add more cash and -- but they will be used for buybacks and seeding purposes. 
Michael Cyprys: Great. And maybe as a follow-up, just curious your thoughts on pursuing something more programmatic in terms of buybacks rather than opportunistic. 
Suren Rana: Yes, currently, we are leaning in favor of opportunistic. The reason being that gives us more flexibility in the timing of seeding as well and then also to benefit from the movements in the market. And it's not a large amount now that would necessitate anything programmatic. So we feel comfortable with the opportunistic approach for now. 
Operator: Your next question comes from the line of John Dunn from Evercore. 
John Dunn: Could you maybe talk about some of the other strategic areas that are inflowing that are blunting the outflows from managed vol? And then separately, what type of environment do we need to get to where we could see less of a drag from managed vol? 
Suren Rana: Yes. Thanks, John. We are seeing good sales across most of our strategies outside of managed vol. And I would say there's a little bit of slowdown on the emerging market strategy as well. Given that those markets, the index itself hasn't done very well in recent years compared to the U.S. market. But we saw good sales in Global Equity Strategy, in Equity Non-U.S. Strategies and different types of niche strategies, such as small-cap strategies. We're also seeing demand from our variance of strategies, such as extension strategies where we go a little bit long and short 130-30 strategies. And we have enhanced versions where they go close to the benchmark with a smaller tracking error and then there's some ESG as well. So it's pretty good cross-section of strategies where we see sales and where we see pipeline building up.
 And then we are seeing the outflows from managed vol and a little slowdown in emerging markets. I guess an environment to the last part of your question, on the environment, managed vol does well when beta is not running up too much, I guess when there's more of a fair risk-return environment, and it does well over longer periods in the sense that the academic cities and statistics will tell you that over a longer period, 10-year, 15-year period, the low beta securities do just as well as high beta, if not better. 
 And that generally holds out to be true. But in the interim, whenever there's a risk-on environment, beta, of course, gets rewarded. So I guess more of a risk-off environment or a more regular environment over a longer period, those strategies do well. But we haven't had that in a while over the last several years, maybe almost 10 years now, it's been a beta rewarding market. So that's not been an ideal environment for managed vol. 
John Dunn: Got it. And then could you give us kind of a characterization of the institutional pipeline where things are in it as far as early or late? And then anything chunky on the institutional side, you have line of sight that might be redeeming in the next couple of quarters? 
Suren Rana: Yes, the pipeline is good within line of what I described as a good cross section that we like to see across different types of strategies, managed vol being notably absent, emerging markets is less than where we would like. The investment performance is stellar in emerging markets. But the client interest is a little bit less right now because for several years, the emerging market index has lagged U.S. in particular, but also developed markets in the West. But otherwise, other than that, it's a pretty good cross-section and across stages as well, early stage, mid-stage and [ one ] stages that are yet to be funded. But yes, you had said it right that there are -- on the outflow side, we have pressure from managed volatility. And there are always episodic things that happen with clients reallocating to other things.
 One thing that we've seen with the high rate environment is a continued trend of derisking, particularly by pension plans, where the interest rates now are high enough that, that they can derisk from equities and allocate more to fixed income. So that those allocation decisions happen from time to time. We're seeing that and people move from one strategy to the other from time to time. So it's a little bit hard to tell, but I guess from a trend perspective, the derisking and allocation to fixed income we see that more often. So when we sort of look at all of that, we expect to be probably flattish over the next few quarters. But any given quarter, we may see more of these things happening coincidentally in one quarter where we may not come out flat. But these are the trends and that's specifically why we're excited about our fixed income, the systematic credit initiative because then we can also be a beneficiary of the derisking trend that we see. 
Operator: [Operator Instructions] The next question comes from the line of Kenneth Lee of RBC Capital Markets. 
Kenneth Lee: I wonder if you could share some thoughts around potential EBITDA generation going forward and perhaps provide any color around your expense outlook? And whether you could see some benefit from operating leverage as markets potentially continue to appreciate? 
Suren Rana: Yes, that's a good question. And if you look at essentially this quarter versus the year ago quarter, we saw the benefit of the operating leverage in the sense the market appreciated compared to the year ago quarter. The AUM is up by about 12%. And as a result, the management fee was up by about that much about, call it, 13%. But at the ENI level, the ENI is up 48% versus a year ago. And then we used it a little bit more with our buybacks. So then the EPS is up 57%. So that's primarily because of the benefit of the operating leverage and continued expense discipline. So as we sort of go forward, I guess the markets continue to appreciate, we should see that benefit with the revenue going up. And we're generally trying to hold the discipline on the expenses. Over the last few years, we invested a lot in making our infrastructure more scalable. We had some initiatives on outsourcing that provides us more scalability without having to add a lot more to the cost. We dealt with the pressures from inflation, particularly on the data costs and IT costs that should be abating now. And we've built up on these new initiatives that are more or less at full run rate now. So we see much less increase on the operating expenses going forward being that we invested in scalability in the past few years. So the markets go up, we should see the benefit of operating leverage. Does that answer your question, Ken? 
Kenneth Lee: Yes, it sure does. 
Operator: This concludes our question-and-answer session. I'd like to turn the conference call back over to Suren Rana. 
Suren Rana: Thank you, operator. Thank you, everyone, for joining us this morning. We look forward to engaging with you in the coming months and quarters.